Operator: Hello, everyone, and welcome to the Johnson Outdoors First Quarter 2014 Earnings Conference Call. Today's call will be led by Helen Johnson-Leipold, Johnson Outdoors' Chairman and Chief Executive Officer. Also on the call is David Johnson, Vice President and Chief Financial Officer. [Operator Instructions] This call is being recorded. Your participation implies consent to our recording of this call. If you do not agree to these terms, simply drop off the line. I would like to turn the call over to Cynthia Georgeson from Johnson Outdoors. Ms. Georgeson, please go ahead.
Cynthia Georgeson: Thank you, operator. Good morning, everyone, and thank you for joining us for our discussion of Johnson Outdoors' results for the 2014 fiscal first quarter. If you need a copy of our news release that was issued this morning, it's available on the Johnson Outdoors website at www.johnsonoutdoors.com, under Investor Relations. Before I turn the call over to Helen, I need to remind you that this conference call may contain forward-looking statements. These statements are made on the basis of our views and assumptions at this time and are not guarantees of future performance. Actual events may differ materially from those statements due to a number of factors, many of which are beyond Johnson Outdoors' control. These risks and uncertainties include those listed in today's press release and our filings with the Securities and Exchange Commission. If you have additional questions following the call, please contact either Dr. Dave Johnson or me. It's now my pleasure to turn the call over to Helen Johnson-Leipold, Chairman and CEO.
Helen P. Johnson-Leipold: Good morning. Thank you for joining us. I'll start off with comments on the first quarter results and share perspective on the marketplace. And then Dave will review key financials, and then we'll take your questions. Fishing, camping, diving and paddling equipment markets are highly seasonal and heavily influenced by weather conditions. During our first fiscal quarter, we're ramping up for the warm weather selling season that hits us during the second and third quarters. Therefore, our sales are usually the lowest of the year and we historically posted an operating loss. Last year, we benefited from unusually early new product shipments during the first quarter and this year, the early onset of harsh winter conditions that shifted the timing of new products, orders and shipments. As a result, year-over-year comparisons this quarter are unfavorable. I think it's important to note that during our first quarter, cold weather outdoor equipment and ski resort revenues were very strong, consistent with the rising consumer confidence and reported increasing consumer discretionary spending. If these positive consumer trends continue into the warm weather outdoor rec season, we feel we're in a very good position to capitalize on the opportunity. While it's far too early to predict the full year, I can tell you that we have an exciting new product lineup across our portfolio, and customer demand is strong and growing. At the same time, every business unit will be dealing with its own unique set of challenges. For starters, a highly charged competitive environment in Marine Electronics. Demand for innovation in electronics is a never-ending quest, which is why our focus is on technology that we can own. And in Marine Electronics, competition runs the gamut from small companies who thrive and survive on grassroot guerrilla warfare to multibillion-dollar giants with seemingly unlimited resources. Net-net, a very challenging marketplace, particularly for Humminbird, which designs and makes high-tech, sonar-based equipment for anglers. We've leveraged our deep knowledge at fishing to bring forward unique features and applications that truly make the fishing experience continually better and more enjoyable for anglers. This is a key to how we -- how and why we continue to win in the marketplace. Like every other high-tech company, Humminbird needs to periodically upgrade its operating system. These upgrades are major system advancements involving a virtual overhaul of the operating platform to dramatically increase and improve its features and functionality now and in the future. In 2014, we're implementing a system upgrade to more than half of Humminbird high-end models. This was an important investment in the future enabling us to continue to meet the ever-growing needs and expectations of fishing enthusiasts and help maintain Humminbird's positive growth trajectory. Planning and development began in earnest well over a year ago, software testing and debugging, as well as production process validation has been tedious and comprehensive because quality and performance are a must. In addition, this quarter, we implemented a new pricing value strategy across the rest of Humminbird family of products to enhance margins and improve our competitive position. Demand for both Minn Kota and Humminbird new products are on track, and we feel good about our competitive position and our ability to maintain market leadership. Marine Electronics is a strong, resilient business, and we are optimistic the unit will continue to deliver against our #1 goal of driving profits faster than sales. Diving, our most global business, will continue to deal with the effects of weak European economies. Unrest in the Middle East has dramatically affected popular dive destinations for European dive enthusiasts in that part of the world. Both local country and export sales in Europe have been impacted. We're looking to generate positive marketplace momentum with the introduction of our new SCUBAPRO Chromis and ALADIN Square dive computers, which are shipping in the second quarter. While sales may not offset revenue declines in Europe, healthy margins in this product category can help protect the profitability of the unit. In our Outdoor Gear area, growth in camping brands fell just shy of offsetting declines in noncore military sales. The Jetboil integration has gone smoothly, and we've begun restructuring our consumer camping business to better optimize market and operational synergies going forward. In Watercraft, the new Old Town Predator fishing kayak series helped drive sales in the all-important specialty class of trade during the first quarter. The challenge will be keeping up with demand and that's a good thing. Despite the play in loss of international sales in the unit due to global restructuring, as well as the continued deemphasis of low-margin products, we are expecting Watercraft to return to profitability by the end of 2015, if not sooner. To summarize, the first quarter results are not necessarily indicative of full year performance and is far too early to project how the season will shake out over the next 2 quarters. As always, the battle for discretionary dollars is fierce and challenging. Demand for our new products is growing, and we believe our strategies and plans are on target to drive and sustain positive marketplace momentum. Our balance sheet is strong. We have the capacity to both invest where needed to strengthen and grow our business, and we remain optimistic in our ability to achieve our 2015 financial targets. Now I'll turn things over to Dave.
David W. Johnson: Good morning, everyone. As Helen said, the first quarter is not necessarily an accurate barometer of full year performance. At the same time, Q1 results provide direction on areas of focus where we need to have the flexibility and speed to adjust as the season unfolds. Working capital is one of those focus areas. It's normal for working capital to be higher during our first quarter. This is when we're in full ramp-up mode as we build inventory based on seasonal forecasts. This year, orders and shipments are tracking more closely to the retail selling season for our products during the second and third quarters. Marine Electronics is driving the uptick in inventory due to the higher number of new products coming out this year. Right now, the level of inventory is justified due to strong demand. Nonetheless, we are watching point-of-sale data closely and prepared to ramp up or pull back based on marketplace trends. Cash, net of debt, is down about $1 million year-over-year. As you know, we initiated a quarterly cash dividend during the first quarter. We are, of course, very pleased to be in a position where we can continue to invest in strengthening and growing our portfolio and pay a dividend to shareholders. Now I'll turn things back over to the operator for the Q&A session. Operator?
Operator: [Operator Instructions] Our first question comes from the line of James Fronda of Sidoti & Company.
James Fronda - Sidoti & Company, LLC: I'd imagine some of that weather would probably negatively affect you in the second quarter as well.
Helen P. Johnson-Leipold: Well, it depends. I think how long the cold weather lasts. Certainly, we need the lakes to melt and not ice over.
James Fronda - Sidoti & Company, LLC: Yes.
Helen P. Johnson-Leipold: So the good thing is that it has all the winter inventory product, there's not a lot of inventory on the shelf because the winter clothing and apparel and equipment have been able to sell. So there's positive and -- there's some positive sides. So we'll have to see.
James Fronda - Sidoti & Company, LLC: And any areas -- area of interest for you guys to make another acquisition? Any specific categories you'd be looking in?
Helen P. Johnson-Leipold: Well, we are always looking at opportunities. Certainly, our growth area -- we have great momentum in the Marine Electronics area, so that's always on our list. I mean, across-the-board, we keep our eye out. So I would say it's not category-specific, but we're very much out there and looking.
Operator: And our next question comes from the line of Brian Rafn of Morgan Dempsey.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Give me a sense -- Helen, you spoke a little bit about a new kind of pricing value strategy at Humminbird. Can you give us a sense or flesh it out a little more relative what you're kind of talking about?
Helen P. Johnson-Leipold: Well, in a range of product lines, we went through some cost reduction exercises so that we could reduce the cost of sales, and it was very successful. And therefore, we could adjust the pricing. So our margins are actually better. But the -- we've got a price that we are -- we feel better about in the marketplace. So it's a win-win on that end of the space.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. You guys have always done a superb job and actually driving trailing 12-month sales or quarterly sales from the new product development. I maybe have missed it, what -- if you look at the $79 million of sales, what kind of percentage of new products in the last 2 or 3 years might that have composed?
David W. Johnson: Brian, I' sorry, I don't have that number in front of me. It's probably close to our goal of 30%.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay, so range amount. All right. What is your sense as you guys look, can you talk about your ramp-up for the second and third quarter stocking, some of your -- the boutiques and maybe, obviously, it's different in the Humminbird, Minn Kota, if you're doing Cabela's or Bass Pro, versus somebody that's a little more of a single proprietor. What is kind of the aptitude of your retail channel and actually building inventory, holding inventory? Or is it still that kind of just-in-time mentality?
David W. Johnson: Yes, I think, right now, it's interesting because, because as Helen alluded to, the winter equipment and apparel have done well. So -- but in our area, we have not seen a lot of ordering yet. Hopefully, it will. I think they're still holding the inventory pretty close to the vest.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, okay, all right. So are you saying then, obviously, the assumption being that with decent cash flow from the winter side, plus I would think somewhat amiable banking credit market, they ought to be at least from a financing standpoint, there shouldn't be any impairments relative to taking down inventory?
David W. Johnson: Yes, I wouldn't think so.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. I'm just curious, north of the Mason–Dixon Line, we've really gotten clobbered with this polar vortex. I'm not a fisherman. I'm a boat racer, so I'm the guy that's usually creating the havoc amongst the fisherman. But the -- when you get a late, really cold weather into March or April and you have a late melt, how does that impact the fishing guy? He can't get out on the lakes. We had one year, I think, maybe a year ago where in March, we had landscapes on them. It was so nice. How does that kind of, the retail side, impact your kind of loading in orders and that type of thing from a weather standpoint?
Helen P. Johnson-Leipold: Well, they -- in general, fishing, they do tend to purchase before the season in anticipation of the season. So I think also the retailers will order prior to the season. So you do get the first order in unless it's just really abnormally cold. But I would say, the impact is more if they can't get out on the water, it's that in-season first point-of-sale purchase that we would see some softness in. So given there are -- but if -- again, if this year is so much different than this year, it does impact the mentality and the purchase mentality. So I can't say it doesn't impact, but the fishing season, they tend to order in anticipation of it getting nice. So that first shot out the door is not necessarily what gets impacted.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Yes, okay. No, I think that makes some sense. You alluded to in a little bit -- is the same trajectory declining heading south of the military gear from the camping side to the outdoor?
David W. Johnson: I'm sorry, can you repeat that, Brian?
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Is the same trajectory that has happened the last number of quarters were the kind of a year-over-year decline in military sales in the camping side? I'm looking at kind of a post Afghanistan-Iraq replenishment. You guys still don't see anything from the army, the guard or the marines?
David W. Johnson: We don't see any uplift. But frankly, I think we'll be -- we plateaued. So I think the quarter is a timing thing. I hate to predict it, but I think we'll be plateaued year-over-year for the full year.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. You've seen any -- Dave, question for you, any cost pressures relative to materials or -- and then maybe how you kind of see labor and wage inflation and then the wildcard being health care, obviously, so from a cost standpoint?
David W. Johnson: We -- there's a little bit of pressure on resin. We've seen some cost pressure here and there, but nothing significant. We'll have to see what happens with health care. We did experience a little bit more health care cost increase this quarter, but that's nothing really to do with the changes in regulation. It's just the experience we've had.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. And then from a strategy standpoint, I know with the seasonality and weather, I mean that's all it'd be. Is there any way in the markets that you are in to over the next 3 or 4 years to boost the weakness in the first quarter? I don't -- some things just don't sell for Christmas, the holiday season. Are there any incremental things that you can do or product line extensions -- or is it just kind of given that it's a seasonally tough quarter?
Helen P. Johnson-Leipold: Well, I would say, it is. Historically, it's a seasonally tough quarter, but we do have a global business, which helps -- diving helps that piece. However, outside of the U.S., there's some economic weakness. But we are working to come up with great Christmas items. And if we can get better at that, that would be the opportunity. But I would say that we are always going to be, as long as we are in the warm weather activities, that we will see this first quarter as seasonally low.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay, all right. I think that's fair. And then what -- you talked a little bit about the weakness in European diving. What -- x European dive, how do you see the U.S. market?
Helen P. Johnson-Leipold: Well I think we're doing better in the U.S. and we are in the process of ramping up our launch of the SUBGEAR brand. So it's -- so far, it is, in this quarter, a little weak, but we don't expect that to trend for the year, but it's doing well.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. And then, Dave, CapEx kind of budget for the year?
David W. Johnson: It should be comparable to where we ended last year. There won't be a whole lot of change.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I'd like to turn the call back over to Helen Johnson-Leipold for any further remarks.
Helen P. Johnson-Leipold: I just want to thank everybody for joining us, and I hope we'll see you at our Annual Shareholder Meeting in February. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may now disconnect. Have a great day, everyone.